Operator: Good morning, and welcome to American Hotel Income Properties REIT LP's First Quarter Results Conference Call. [Operator Instructions] Before beginning the call, AHIP would like to remind listeners that the following discussion will include forward-looking information within the meaning of applicable Canadian security laws which forward-looking information is qualified by the statement. Comments that are not a statement of fact, including projections of future earnings, revenue, income and FFO are considered forward-looking and are based on certain assumptions and involve various risks and uncertainties. The risk and uncertainties that, if realized, and assumptions that is false could cause AHIP's actual financial and operating results to differ significantly from forward-looking information discussed today are details in AHIP's public filings, which are available on AHIP's website at ahipreit.com as well as on Sedar. Participants on this call should not place undue reliance on such information, which is provided based on management's expectations and assumptions as of the date of this call. AHIP does not undertake any obligation to publicly update such information to reflect subsequent events or circumstances, except as required by law. On this call, AHIP will discuss certain non-IFRS financial measures for the definition of these non-IFRS financial measures, the most directly comparable IFRS financial measures and a reconciliation between the two, please refer to their MD&A. References to prior year operating results are comparisons of AHIP's portfolio of 67 properties results in that period versus the same property results today unless otherwise indicated. All figures discussed on today's call are in U.S. dollars unless otherwise indicated. A replay of this call will be available on AHIP's website Discussing AHIP's performance today are Jonathan Korol, Chief Executive Officer; and Travis Beatty, Chief Financial Officer. I now will turn the call over to Jonathan Korol, Chief Executive Officer. Please go ahead.
Jonathan Korol: Thank you, operator. And thanks everyone, for joining us today for our first quarter financial results conference call. Bruce Pittet, our Chief Operating Officer, cannot join us today due to personal reasons, and I will be covering the operations portions of the call. AHIP's current portfolio of 67 select service hotels continued to demonstrate strong demand metrics in Q1 2024. For the quarter, revenue grew by 5% and RevPAR for the quarter finished at $89, a 3% improvement over Q1 2023. This increase was driven almost entirely by occupancy gains with broad demand from leisure, corporate and group guest segments. I want to caveat this by mentioning that we had disruption to our operations in Q1 2023 related to adverse weather, and large renovations that resulted in around 3% to 5% of rooms being out of order at any given point in time during the quarter. Preliminary operating results for April are strong, showing meaningful year-over-year growth in occupancy, ADR and RevPAR. I will provide detail on that in a moment. The ability to control and manage daily rates is a key advantage of the lodging sector, which enabled AHIP to achieve strong growth in ADR over the past few years, partially mitigating the effects of rising costs due to inflationary pressures. The challenging operating environment driven by elevated costs and labor shortages that has impacted performance over the past few years continued into this quarter and put downward pressure on operating margins. Shortages in the overall U.S. labor market resulted in increased room labor expenses due to overtime and higher wages for employees, although dependency on contract labor is decreasing. We also saw a meaningful increase in the annual premium for property insurance effective June 1, 2023, which resulted in about 100% year-over-year quarterly insurance expense increase or about $1 million. We remain focused on cost control initiatives as we enter our busiest portion of the year. On the transaction front, in March 2024, we completed the previously announced dispositions of hotel properties in Harrison Virginia for $8.55 million and Cranberry Township, Pennsylvania for $8.25 million. These sales combined are equivalent to an 8.6% cap rate on 2023 annualized NOI before factoring in any required CapEx. That's around a 6% cap rate, including estimated CapEx. In March and April 2024, we entered into agreements to dispose of 2 noncore hotel properties in Amarillo, Texas, for $9.3 million and $8.3 million, respectively. Together, the Amarillo dispositions are equivalent to a 6% cap rate on 2023 ANOI before factoring in estimated CapEx and at around a 4.5% cap rate after CapEx. The dispositions are expected to close in the third quarter of 2024. Last November, we announced a number of initiatives focused on strengthening the company's financial position and preserving unitholder value against the backdrop of a challenging operating and macroeconomic environment. As a reminder, the actions taken included an amendment and extension of our revolving credit facility and certain term loans, a reduction in deferral of hotel management fees and a temporary suspension of the unitholder distribution. We are currently engaged on a number of strategic dispositions and refinancings that will serve to address our near-term loan maturities, delever the portfolio and also improve overall portfolio operating metrics. These actions will also serve to address what we perceive as a meaningful disconnect between current unit values and private market valuations. We are confident in our ability to execute on these transactions and reduce portfolio debt. These steps will ensure that we are positioned to benefit when the industry operating and macroeconomic environment improves. We will continue to monitor conditions and operating performance while considering further strategic opportunities to deliver value over the long term. I'll now move on to discuss first quarter hotel operations. AHIP's portfolio of premium branded select service hotel properties continued to demonstrate healthy demand metrics in the first quarter of 2024, during what is traditionally the slowest demand quarter of the year. Total revenue increased by around $3 million for our current portfolio of 67 properties. As a reminder, during the final week of December 2022, cold weather, particularly in the Northeast U.S. and Texas, caused weather-related damage at 4 hotel properties resulted in a significant number of rooms out of order during Q1 2023. We also had major renovations at 3 of our hotel properties during Q1 2023. These projects were started in 2022 and were completed in March 2023. Given the operating disruption we experienced from these impacts, for year-over-year comparison purposes, I will state operating performance figures for our portfolio of 67 assets as well as the 60 same-store assets that did not see any disruption in an effort to provide a better sense of property performance in the quarter. For Q1 2024, our 67 hotels had an occupancy average of 67% or 104% of 2023 levels. On a same-store 60 hotels basis, occupancy was also 67% or 99% of Q1 2023. ADR was essentially flat year-over-year in Q1 2024 with AHIP's portfolio finishing the quarter at $132 for the AHIP67 and $133 for the AHIP60, below Q1 2023 levels by around 1%. Q1 2024 RevPAR for 67 hotels was $89 or a 3% increase over Q1 2023. Excluding the 7 disrupted hotels, RevPAR was also $89 for the quarter but represented a 2% decrease compared to 2023. We referenced 3 distinct segments of our business: extended stay or 22 hotels, select-service hotels, 40 hotels and our Embassy Suites hotels, which are 5 properties. During Q1 2024, the extended stay segment achieved a RevPAR of $90 or 1.12x Q1 2023. This segment was most impacted by the weather event as 3 extended state properties had significant damage and disruption. The Select Service segment achieved a RevPAR of $83. This represents 1.02x Q1 2023 levels. After being our strongest performing vertical in 2023, the Embassy Suites took a step back in Q1 2024 with RevPAR finishing the quarter at $101, down 7% compared to Q1 2023. This decline was largely due to the Super Bowl supercharging the performance of our Embassy in Tempe, Arizona in Q1 of 2023 compared to a more typical rate and demand pattern in Q1 2024. Food and beverage revenue increased 18% versus Q1 2023 and is attributable to the continued growth of group and corporate demand in our Embassy portfolio. The continued elevated operating expense environment impacted our margin performance. For our portfolio of 67 assets, NOI margin finished at 0.93x 2022 levels for the quarter and this decreases to 0.90x once you remove the seven disrupted assets. Instability around labor continues to have a significant impact on profitability. During the quarter, we also felt the impact of insurance expense increases, which negatively impacted NOI margin by around 140 basis points. Although the operating environment remains challenging, particularly around the employee turnover and retention, we are seeing inflation impact easing, although still elevated. Specifically, we are seeing expense improvements in key areas such as labor cost per occupied room or CPOR, which is up 4% year-over-year compared to 14% in Q4 '23. Comp food cost per occupied room was down 5% year-over-year as food inflation was one of the hardest hit categories in hotel operations over the last 2 years. Finally, the use of third-party labor was down 65% year-over-year. In 2024, we have continued to focus on margin improvement initiatives with our hotel manager. Specifically, continuing to increase levels of in-house employment, reducing turnover, improving retention and looking for opportunities to enhance the portfolio's procurement programs to find additional cost savings. Turning to AHIP's capital program. The 2024 capital plan includes approximately $5 million in PPS and $9.5 million in FF&E capital improvements, which will partially be funded by restricted cash. Total capital spend in Q1 2024 was around $3 million. We completed the renovation of a hotel in Connecticut during the quarter, and we anticipate starting the renovation process for 3 to 4 additional hotels during the year. As each PIP completes, we expect to see increases to the hotel's market share and RevPAR performance. It is worth reiterating that we will continue to analyze our portfolio for opportunities to generate meaningful return on investment through renovating and repositioning hotels, while focusing on maintaining a competitive advantage in the market. It's worth noting here that RevPAR index is up meaningfully year-over-year pointing to the favorability of the portfolio's overall market competitiveness. Initial results for April suggest strong top line performance with occupancy of 76%, ADR of $136 and RevPAR of $103 or 110% of April 2023 RevPAR levels. The timing of the Easter holiday and the solar eclipse event both helped spur demand in April. And with that update on our hotel operations, I'll now turn the call over to Travis to highlight key financial and capital metrics for the quarter.
Travis Beatty: Thank you, Jonathan. Good morning, everyone. On a same-store basis, revenue increased by 3% to $66 million in the first quarter compared to $63 million in the prior year. Normalized diluted funds from operations, or FFO, was $0.02 per unit for the quarter compared to normalized diluted FFO of $0.07 per unit in Q1 of 2023. At the end of the quarter, AHIP had $25.5 million in available liquidity compared to $28 million at the end of the year. The available liquidity of $25 million was comprised of an unrestricted cash balance of $15 million and a borrowing availability of $10 million under the revolving credit facility. AHIP has an additional restricted cash balance of $33.5 million at March 31, 2024. Debt to gross book value at March 31, 2024, was 52.3%, an increase of 40 basis points to the end of the year. Debt to trailing 12 months EBITDA as of March 31, 2024, was 10.5x, an increase of 0.9x compared to the prior year. The increase in debt to trailing 12-month EBITDA was mainly due to a decrease in NOI. We continue to execute on our plan to address the company's near-term debt maturities in 2024. During the quarter, we addressed our Q2 2024 CMBS loan maturity of $22 million, comprised of one loan pool and 4 assets by completing the disposition of one noncore hotel property and refinancing the balance of the loan. We completed the CMBS refinancing for these assets for gross proceeds of $17 million prior to initial capital reserves contribution of approximately $5 million. The term of this new loan is 5 years at an annual fixed interest rate of 7.8%. Our Q4 2024 CMBS loan maturities of $58 million are comprised of 3 separate CMBS loan pools and 8 hotels, will be addressed through a combination of hotel sales and CMBS refinancing. Specifically, AHIP entered into agreements to dispose of 2 noncore hotel properties in Amarillo, as Jonathan previously mentioned, these dispositions are expected to close in the third quarter of 2024. In addition, AHIP is currently marketing hotel properties in each of Ocala, Florida and Dallas, Texas. Lastly, AHIP expects to refinance a $25 million loan consisting of 4 hotel properties in Florida and North Carolina prior to its maturity in the fourth quarter of this year. AHIP has 70.6% of its debt at fixed interest rates following the expiry of the interest rate swaps in November 2023. The notional value of the interest rate swaps was $130 million, which expired on that date. As a result of this, at the current average SOFR rate of 5.3%, the incremental annual interest expense is estimated to be approximately $5.2 million. The actual interest rate will depend on future rates of SOFR. I will now turn the call back to Jonathan for some closing remarks.
Jonathan Korol: Thank you, Travis. We continue to execute on our near-term strategic plan and are benefiting from the initiatives we announced at the end of 2023, which have strengthened our balance sheet to ensure we are positioned to outperform while the operating and macroeconomic environment improves for the industry. I believe AHIP's diversified portfolio of premium branded select service hotels with a focus to operating model, is well positioned to generate long-term value for unitholders. Overall, I am encouraged by the progress we are making on several fronts this quarter and remain optimistic about the remainder of the year. Lastly, I would like to convey my appreciation to all of our teams at each of our hotel properties for their continued dedication to providing a great guest experience. So with that overview of our first quarter results, we will now open the call to questions from analysts. Operator?
Operator: [Operator Instructions] Our first question comes from Dean Wilkinson with CIBC.
Dean Wilkinson: Thank you and good morning. Just a couple of clarification questions around some of the assets for sale. Note 19, is that summation a total of six properties that are being held for sale?
Jonathan Korol: Sorry, you cut out there, Dean, do you say 19?
Dean Wilkinson: Yes, Note 19, the assets held for sale. Am I -- is that -- is it a total of six properties that you've got in that bucket?
Travis Beatty: Yes, that sounds right, Dean.
Dean Wilkinson: Okay. And how many rooms would that represent?
Jonathan Korol: That's about 800 rooms.
Dean Wilkinson: It's about 800, okay. And then on the CMBS loan that looks like you're going to be handing those assets back, those properties, how many rooms would that be roughly?
Jonathan Korol: 491.
Dean Wilkinson: That's 491. Okay. Perfect. Just in terms of the -- as you look forward into 2025 and $188 million that's coming up there, and I know that it's a long way away. Is that something that you're going to have to sell more assets down to deal with those? Or like you've probably sort of started conversations around that, sort of what's going on there?
Travis Beatty: Yes. Dean, the $188 million, are you referring to the revolving credit facility? We've got the 181, not 188. Is that what you're referring to, though?
Dean Wilkinson: I'm looking at the maturities that are coming up in 2025.
Travis Beatty: Okay. The biggest component of that is the revolving credit facility, which we have an initial maturity at the end of this year, and then we have a 6-month extension to June of 2025. So we do need to get that amount down. The extension available to us is for $150 million. So some of the asset sales that are contemplated this year are to pay down leverage, which would be to pay down the revolving credit facility. The assets held for sale going forward and the ones that are not classified as held for sale, but we're considering marketing some additional properties. We might sell some of those to pay that down. Alternatively, we can take properties on that line. There’re currently 20 hotels to secure that revolving credit facility. And we should transition those to the CMBS market kind of on a like-for-like basis. So we'll use those 2 approaches to reduce the amount of the credit facility to enable the extension. Having said all that, by the end of the year, we are going to seek an amendment or a replacement of that facility so that we have more term. So we might not use that 6-month extension, what I'm saying we might have a revised or amended facility by the end of the year.
Dean Wilkinson: Okay, likely longer term, but perhaps something in the $150 million range then?
Travis Beatty: Yes, that's a good way to look at it. Yes.
Dean Wilkinson: Okay. That makes sense. And just a clarification on the deferral of the fees that goes to 2027. Is that going to be a liability that is going to continue to grow at the tune of, call it, $3.5 million a year? So by the time that you sort of flipped the switch, that will be a $10 million, give or take, payable going back on those fees?
Jonathan Korol: It's a deferral that actually spans 10 years, Dean. So the first 3-year period of decreased management fees will be recovered through a 25 basis point increase in years 4 through 10. And then whatever is left over will be some payable in the -- at the end of year 10.
Travis Beatty: I think it grows to around 10, gets drawn down a little bit through a higher fee in years four through 10 and then whatever is left over.
Dean Wilkinson: And then whatever is left at the end of that period is then that just a lump.
Travis Beatty: That's right. That's the cash treatment for accounting. We present value all of the things that we just mentioned. So it's a little more complicated in the financial statements. But on a cash basis, it's exactly as we described.
Dean Wilkinson: It's always more complicated in the financial statements.
Operator: The next question comes from Tom Callaghan with RBC Capital Markets.
Tom Callaghan: Hi, good morning, guys. Maybe just to start on the decision side of things here. Jonathan, your remarks, you kind of mentioned a discount to kind of private market transactions in terms of where you guys are trading today. Can you just give a little bit of sense for what you're seeing, whether on dollar per room basis there in private markets? Or where kind of you see those values shaking out?
Jonathan Korol: Well, I think what you're going to see over the next 6 to 12 months is a meaningful disconnect between cap rates and where we're trading right now, which I think is mid- to high 8s on 2023 NOI, and cap rates on private transactions that we're currently negotiating. And I referenced a couple of them being in the 7s and the 8s, and the low 8s. And certainly, some of the others that we're seeing right now, which are the same size -- kind of in that $10 million to $15 million transaction level, being quite a bit lower than where we're tracking right now versus TTM NOIs. So that's what I was referring to, Tom. And I think over the next few months as we publish some of these others that we're contemplating. You'll see that play out, and certainly seeing that play out in some of the other deals that are being announced by some of our competitors.
Tom Callaghan: Okay. Helpful. Maybe just on the margin side of things. Obviously, labor and insurance, there's still a bit of a headwind. Can you just talk a little bit about how you guys kind of see that unfolding over the balance of the year. Is that something that you still expect on the labor side to continue to ease, or still on a year-over-year basis kind of in that 4% range on a CPOR basis? And then maybe a little early, but just any sense as to the insurance renewal there into the June time frame?
Jonathan Korol: Yes. Travis will talk about the insurance renewal. Maybe you can just go over that first.
Travis Beatty: Yes. Sure, Tom. On the insurance side, the biggest one for us is the property program. We have a June 1 renewal. So we're in the thick of that right now. I'm optimistic that we're going to get a number that's going to be a decrease year-over-year, but I'll know more in the next quarter and be able to tell the market about it while we do our Q2 results. So I don't think we're going to see a big escalation on the property side.
Jonathan Korol: On the labor side, yes, we're pretty encouraged by the drop in third-party labor count in Q1. And I think that will be -- you should see that drop even further into some of the summer months where we benefit from the summer labor pool. And overall, the labor participation rate in the U.S. has been nudging up slightly, and so has the unemployment rate. So we've had more labor availability in some of these markets. Some of them are just tougher because of their suburban nature. But I think that number that you have in there is the 4%. We'd like to see it flatten coming through to the summer months. And I think that the trend, which we're seeing, which is more full-time labor pool, we'll certainly benefit that.
Travis Beatty: Tom, I could add a couple of things. Like we're not seeing the big wage gains year-over-year in terms of hourly rates and things like that, that's leveled off. It's still increasing, but it's leveled off. So how we could do better on labor is the labor mix that Jonathan talked about and productivity. So those are the ways that we can improve labor on a dollar basis, even in a place where the absolute dollar amount of wages on a per hour basis might be still rising.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Jonathan for closing remarks.
Jonathan Korol: Thank you. Thanks again, everyone, for joining us on our call today. Look forward to speaking to you in August when we'll be reporting our second quarter 2024 results.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.